Operator: Ladies and gentlemen welcome to the D'Ieteren Group 2024 Full Year Results Conference Call. Throughout the call, all participants will be in a listen-only mode. Afterwards, there will be a question-and-answer session. Please note, this call is being recorded. Today, I am pleased to present Francis Deprez, CEO; and Edouard Janssen, CFO. Gentlemen, please go ahead.
Francis Deprez: Thank you and good evening to everyone. Welcome to the publication of our results of 2024. I suggest we just go into the key messages right away. We have three key messages for you tonight. One is that, we've delivered another strong set of results in 2024, both in our adjusted profit before tax Group share, where we've increased with 9.6% or even 12.7% if you take it at constant-currency and excluding the additional financial charges at Belron and Corporate segment that were linked to the transaction of last year. But also, in the free cash flow group share, we increased to 22.2%, reaching a number above EUR740 million. That's message number one. Message number two is that, our guidance for 2025 is that, we expect a slight increase in our adjusted profit before tax group share on a comparable financing perimeter in both years. And that is because we do expect the operational performance of most of our businesses to continue to improve throughout the year. And the third message is that, we have repaid or reimbursed actually EUR250 million of the EUR500 million bridge loan at the Group level today, and that we will also propose a dividend to the General Assembly in the June of EUR1.6, as a normal ordinary dividend. So, these are the three key messages. To give you a little bit of more flavor behind those numbers, so the plus 9.6% or 12.7% in PBT group share basically leads to a number of EUR165 million so a bit more than EUR1 billion basically in PBT. And the free cash flow, the EUR741 million is basically driven in particular by D'Ieteren Automotive, but also by the other activities. The operational performance has been across the board. At Belron, for instance, we continue to increase our operating margin with 70 basis points. And so, we landed in our adjusted PBT Group share 1.4% higher. Of course, there were some additional financial charges as of October, not surprisingly given the refinancing we had done. D'Ieteren Automotive saw a very nice increase in its adjusted PBT Group share plus 13.4%. They reached actually a return on sales margin of 5.1%, a very nice percentage for them a record number. That despite the fact that the market of new cars in Belgium was actually decreasing with about 6%. PHE continued on its growth trajectory. Its adjusted PBT Group share grew at 8.1% and is now more than EUR165 million. It was a combination of market share gains, cost containment, et cetera. We'll give more details in a second. TVH had actually the highest jump in PBT of all plus 30.5%, almost reaching now EUR100 million compared to 2023. Of course, we didn't have the cyberattack effects anymore, but they also did good cost containment and that in softer market environments at TVH. And so, we had a 206 basis points uplift in the operating margin at TVH, reaching 15.6%. And then Moleskine had a slightly negative adjusted PBT Group share of minus EUR3 million. It continues to be an environment of a very cautious discretionary spending environment. The whole sector suffered from that actually, and we had a bit of negative operating leverage, therefore resulting in that negative PBT. So, the gross ordinary dividend proposal of EUR1.6 million. I already mentioned is of course, coming after the big transaction of last year, which was of course successfully completed in December, where we have done a EUR74 extraordinary dividends and where also the family shareholding has been reorganized and where we now basically have long-term stability for the decades to come. And maybe last but not least, we do have continued attractive prospects for 2025. The slight increase that I mentioned here in our comparative financing perimeter, you of course have to take into account that we will have now full year FX of the financial charges linked to the new financing. We anticipate this to be about EUR140 million at the level of Belron, that's the group share part of that. And also, at the corporate central level at the group, we expect about a EUR40 million financial charge on the loans at our level. So, if you take those two things into account, you will of course see a lower headline number for the adjusted PBT Group share, but on a comparative basis, it should be slightly higher than the year before. So, to go a little bit of the key slides here at the group level before we delve into the detailed activities. At sales, group share the plus 3.5%, which brings us above EUR12 billion overall now comes to the strongest part actually from PHE, where we did an increase of 8.1%, followed by Belron, plus 6.8%, then followed by TVH, plus 4.3%. Also, D'Ieteren Auto was relatively flat at minus 0.5% and a decline of 6.1 --
Operator: Excuse me, ladies and gentlemen. Please continue to stand by. Your conference will resume momentarily. Thank you. Excuse me, presenters. You may continue.
Francis Deprez: Okay. Thank you. Sorry for the disruption that we had on the phone line, but I was basically on Page 6 talking about the translation of the additional sales into additional operating results, where we increased with 12% reaching over EUR 1.3 billion. And here, the strongest grower was D'Ieteren Automotive with plus 21.2%, followed very closely by TVH, which grew 20.1%. And we had two activities growing their respective profits with close to 10%, 1.5% with Belron and 11% at PHE. And we had, as I said, a negative leverage effect, operating leverage at Moleskine, where we saw a decline of minus 34% in their overall profit. The adjusted profit before tax Group share that I mentioned at the very beginning of the talk and that increased close to 10% is now actually composed more of non-Belron profit than of Belron-related profit. So, for the first time, Belron is only 49% of the EUR1.065 billion, where we had over 50% or 51% of all the other activities. But you see the different components on the right, EIR519 million Belron, EUR238.9 million D'Ieteren Automotive and then the PHE clearly above EUR160 million, TVH close to EUR100 million, EUR46 million at the corporate level and minus EUR3 million at Moleskine. The translation to cash flow, I'll probably hand over to Edouard, who can talk a bit more about that.
Edouard Janssen: Thank you, Francis. So, I'll introduce earlier indeed record free cash flow group share at EUR740.6 million. Of course, particularly welcome given the leverage in place, but very solid contribution from most entities of the Group, including PHE and TVH. Of course, the strong free cash flow generated by D'Ieteren Auto has to be highlighted record of EUR362 million, mainly due to two elements, right. First, the strong operational performance that we will elaborate a bit further in a few minutes, and then the reduction in normalization of the working capital, the order book and the delivery time. And finally, Belron, very solid free cash flow Group share of EUR232 million even after higher interest charges in 2024. If we look now at the debt structure and financial burden per entities, on that trend, Belron reached senior secured net leverage ratio of 5.15x down from the estimated 5.5x at the announcement of the transaction. With regards to Moleskine, TVH and PHE, we have a pretty stable situation with regards to their debt. And auto, D'Ieteren Auto, as you can see, they delivered strongly in 2024, thanks to the strong free cash flow generation. They only had a debt very close to zero at EUR12 million. Finally, at the Group level of the corporate and unallocated, we had more than EUR100 million of cash at the end of the year and our net debt was of EUR652 million. As Francis said, yes, we have repaid half of the bridge loan effective today, March 10th, simply because it is three months since we did draw on the different group debt on December 10th. And we have used for that cash upstream by D'Ieteren Automotive.
Francis Deprez: All right. So, if we go into the activities and I'll start with Belron and I'll go into Page 12, where you see a breakdown of the sales evolution. You can see on the table on the right that the 6.8% is decomposed mainly in organic growth of 5.8%, but quite different in the three different regions. It's been basically relatively flat in North America with 0.2%, but a very nice double-digit growth in the Eurozone 15.6% and also a very nice 9.8% growth in the rest of the world. The acquisitions continue for 0.9% and the ForEx effect was 0.1% overall. The volume growth was there, but it was of course quite modest with 1.5%, mainly driven through the Eurozone and some of the rest of the world. And we could actually capitalize on that given that we had good capacity and increased level of mobility in those markets. In the U.S., the volumes were affected both by the mild winter in the beginning of the year in H1, but also by the more challenging conditions in the insurance segment. There was some claim avoidance behavior that we've seen in certain sets of customers. And so that is something that has not helped the volume effect in the United States last year. The recalibrations of ADAS continued its growth trajectory. We're now at 42.2%, so that's close to 6% higher than before. And also, value-added products and services grew nicely. The attach rates is now close to 24% at 23.7%. The results on Page 13, as you can see, the 6.8% top-line became a 10.5% increase in adjusted operating results. There were still some transformation cost ---
Operator: Excuse me, ladies and gentlemen, please continue to stand by. Your conference will resume momentarily. Thank you. And excuse me, presenters. You may continue.
Francis Deprez: All right. You seem to have some phone line issues tonight, so sorry for that. I was talking about the operating results at Belron and that there are also some transformation costs at play if you go in translation to PBT. So, there were EUR83.7 million transformation costs, EUR25.1 million classified as adjusting items. The margin did increase with 70 basis points year on year, 77% if you take constant currency. So, we're now at 21.2%, so nicely on track to our 23%. And our net finance costs, of course have increased. The impact has been about EUR60 million in the year 2024 due to the new debt issuance in October 2024. And the PBT Group share has been impacted by that of course, as well. If you would not have had the additional financial charges, the increase would have been 7.3% year on year on that particular metric. The adjusting items on Page 14 at Belron, you have the usual components of the EUR71 million linked to the long-term incentive programs, close to EUR34 million linked to customer contracts and amortization of those are linked to recent acquisitions. And in the other adjusting items, there were a couple of ones that I could highlight, some legal claims in the order of magnitude of close to EUR33 million. Some system integrator fees EUR25 million that are linked to a transformation program and a couple of other ones, that you can read in more detail on the chart. There's also been an adjusting item linked to the net financing, EUR41.4 million that relates to the whole refinancing exercise and issuance of new debt that happened in October of last year. So that's the adjusting item. On the free cash flow and net debt for Belron, nice level of EUR462 million. Of course, lower than the year before because we have higher cash interest, about EUR159 million more and now at EUR355 million linked to the new debt. There's been a bit of more cash outflow linked to some of the adjusting items as well, and a bit of working capital outflow versus an inflow that we used to have in 2023. So, if you dig those two elements together, and take into account the higher EBITDA, we basically get to the EUR462 million. CapEx was also there about 1.7% of sales, so a good and average level, I would say. We have, of course, increased our net debt. We're doing EUR9 billion more or less in total at Belron. But despite the fact that we started at 5.5 times leverage in October, we have already managed to reduce that leverage 5.15 times by the December. And so, in that sense, the deleveraging that we've talked about before has kicked in already again at Belron. In terms of latest developments, the refinancing, I think, is talked about sufficiently. You are aware of the new ratings that have been in place since that financing of October. It's BB- at S&P, it's Ba3 at Moody's and BB at Fitch. Belron did actually 26 bolt on acquisitions, relatively smaller ones, spending about EUR93 million in total, both in Europe and in The United States. And as you also may recall, we did have at the October a small transaction between two minority shareholders at Belron of about 1.4%, where the company had been valued at least equity had been valued at EUR23.5 billion. The outlook for 2025, a mid-single-digits organic sales growth, thanks to, of course, continued price mix, increased ADAS calibration, modest volume growth is what we anticipate for 2025. We are very much on track with our 23% adjusted operating margin ambition for the full year '25 linked to both top-line drivers -- product programs, the transformation benefits that, of course, start kicking in more and more. And then the free cash flow is expected to remain at a high level at Belron. I suggest we first go to Auto and we'll continue like this before we start opening for questions. So different D'Ieteren Auto?
Edouard Janssen: Yes, D'Ieteren Auto, as I said, record year for D'Ieteren Auto both in terms of margin free cash flow generation, particularly good performance in a -- new car market, which has contracted by 6% or 6.4% if we take in terms of registrations net or gross. The market share of D'Ieteren Auto has declined slightly to 24% versus 24.2% in full year 2023. That means that, the total number of vehicles of 119.8 units have been delivered a bit lower than 2023 by 4.1%. Important to flag is that, the order book has now fully normalized at the end of the year to reach a level of 23,500 at the end of 2024 versus 58,000 at the end of 2023. This means that, the top-line has decreased by 0.5%.
Operator: And excuse me, ladies and gentlemen, please continue to stand by. Your conference will resume momentarily. Thank you. Please wait. The conference will begin shortly. excuse me, presenters, you may continue.
Edouard Janssen: Thank you. So, as we're saying top-line a slight decrease of 0.5% at D'Ieteren Automotive, primarily explained by favorable price mix effect and sales growth positive and strong as well in various activities such as spare parts and accessories and after sales both close to 12%. Throughout the year, there has been some tight cost management at D'Ieteren Auto. This has led to a strong 21.2% increase in adjusted operating result to close to EUR270 million with as Francis highlighted in introduction, a record adjusted operating margin of 5.1%, plus 92 bps versus last year, right. Adjusted PBT Group share also improved strongly by 13%, and we have to flag a negative contribution of equity accounted entities at EUR17 million. This is mainly due at Vadifin Volkswagen D'Ieteren Finance of a decline in residual values and remarketing activity, particularly and mainly in BEVs, so in electric vehicles. As we have seen throughout the market for electric cars, residual values have declined in 2024. And finally, indeed a very strong free cash flow at D'Ieteren Auto of EUR362 million strong increase of 160% year on year of EUR223 million, mainly reflected by the strong operational results and significant working capital inflow. It's mainly the normalization of the order book and the delivery times and as well lower CapEx. Now if we look at the Belgian market for a second on the next Slide 30, we can see that we had 448 gross registrations, a decline of 6%. Since COVID, the high point had been 2023. And D'Ieteren Auto delivered a slight decline to 24% market share versus 20.2% a year earlier. To flag nice gains by Skoda and Porsche above 1% at 1.04%, which is worth flagging, right, because definitely good margins by Porsche both in UK and Europe and slight decline for Volkswagen, Audi and the Cupra brand. Also, to highlight for commercial vehicles, D'Ieteren Auto delivered a market share increase up to a new record of 12.6%. If we look at the mix, the fuel mix environment, we had for the first time the new energies, which represented the majority of the market and as well for the first-time electric vehicles, which surpassed hybrid vehicles in Belgium, 29% versus 24%. Important to flag that D'Ieteren Auto remained the market leader in the market in 2024 with 24.1% in EVs. And that issue, we can see that in 2023, there had been a higher share of business customers also because we had had a change in tax treatment for cars in Belgium around mid-2023. And we can see that at 62% in 2024 for business customers, we are now closer to the multiyear norm. We have talked a bit about the results, but again, we can flag 119.8 new units being delivered, a decline of 4.1%, but strong, very strong results by D'Ieteren Auto and strong margins in this environment. It has been in a sense with the reduction of the order book. It is pretty much the end of the what we had called the premiumization or the positive result of the chips crisis, which had led to a positive price mix effect. As we said, on top of the strong performance of spare parts and accessories at plus 11.7% year-on-year to EUR366 million and after sales also double-digits growth. And as we had said, adjusted operating profit margin standing at the record 5.1% versus the 4.2% in 2023. Finally, with regards to PHE, we already talked about this. In terms of free cash flow and net debt on Slide 22, very strong free cash flow, as we said, mainly the result of the strong operational results with an EBITDA increase of EUR57 million.
Operator: Excuse me, ladies and gentlemen. Please continue to stand by. Your conference will resume momentarily. Thank you. Please wait. The conference will begin shortly.
Edouard Janssen: Okay. Hello, again, everyone. Are we live?
Operator: Please go ahead.
Edouard Janssen: Thank you. Hello, again everyone. Apologies for these technical issues. So, we were on Slide 32, free cash flow and net debt of D'Ieteren Auto. So very strong free cash flow generation at EUR362 million compared to EUR139 million last year, strong increase rate of plus 160% mainly related to the strong increase in operational results, significant working capital inflow of EUR211 million related to the whole normalization of working capital in the retail and order book and finally lower CapEx as well of only EUR12 million. That has led to a significantly lower debt, which has decreased from EUR250 million at the end of 2023 to only EUR12 million at the end of ’24 related to this very strong free cash flow generation by D'Ieteren Auto. In terms of latest development and outlook for 2025, we said indeed that the order book stood at 23,500 at the end of 2024. The company bought the Porsche Center and Eastlander as well throughout the year across the new D'Ieteren system has been implemented. And finally, D'Ieteren Auto obtained the Ecovadis Gold Medal as a reflection of the good efforts in the sustainability field. Finally, in terms of outlook, we expect the Belgian markets to be between 420 and 450 new registrations versus gross registrations of 448,000 in 2024. And indeed after a new record year in full year 2024 and a normalized order backlog, sales should be impacted by the market evolution and this mix normalization we talked about, right, the end of the premiumization. Hence, we expect a decline by low to mid-single digit year on year. This, of course, is very much related to the Belgian market size we talked about a second ago. Finally, adjusted operating result margin is expected to return to at least 4%, still above historical trends, but driven by this expected decline in sales and mix noise ratio.
Francis Deprez: Thank you, Edouard. We'll move to PHE. The highlights of 2024 at PHE were a good solid growth of 8.1%, 5.2% was organic and the rest was basically 2.9% coming from acquisitions. I'm on Page 26, immediately giving you a bit of flavor of the sales and the results. In the sales, France still represents 64% of sales and international about 36% of sales. International actually grew a little bit faster than the French activities. The adjusted operating profit margin is now 9.3%, and that's given profitability improvements both in France and international. There also been some good cost containment, although there were still some cost items that had inflationary pressure, particularly around building rental costs and personnel costs. There were some adjusting items at PHE EUR57.5 million mainly linked to PPA, and applications linked to acquisitions and some cash settled share-based payments expenses as well. The overall contribution to the adjusted PBT group share is above EUR 165 million now, which is a 20.3% increase from the year before and by now about 15% of our overall KPI. The free cash flow and the net debt at PHE on Page 27. The free cash flow was about EUR85 million. There was some nonrecourse factoring reserve drawdown happening, which had an impact of EUR71 million, and then we had the strong operational results. There were also some acquisitions, of course, more than the year before at PHE, EUR96 million, partially linked to direct stakes in Spain and Belgium and France, but also linked to some of the put liabilities that existed between the different activities, and we had some higher cash interest charges as well at PHE. CapEx was about 1.9% of sales. The net debt declined EUR77 million thanks to the good cash flow generation. And it is important to note that when we talk about net debt at the level of in our definition, it does not include some of the put options that may exist either at the subsidiary level or at the minority investor level at PHE. The latest developments of PHE, while we did do at the beginning of the year last year, a refinancing with a EUR960 million in a Term Loan B with a seven-year maturity, was then reprised in November. We have then received new ratings from Moody's and S&P. We're at B1, stable outlook and BB- stable outlook. And we have, of course, also continued our acquisition strategy this year. We have actually recently announced that, we're in exclusive negotiations with an Irish operator, top part, that hopefully soon we'll be able to contribute to PHE as well. Our outlook for 2025 is a mid-single-digits organic sales growth and a stable operating result margin to be expected. So that's PHE basically.
Edouard Janssen: Very good. If we move to TVH, definitely, we had a rebound following the cyber-attack in 2023 at TVH, in an environment of cost containment in the company, but in context of relatively softer end markets. We always talk about the mixed picture, across markets and regions with definitely some softness across these different markets for TVH in 2024. This allowed to have sales growth in Slide 31 of 4.3% year-on-year, out of which 3.4% organic, largely driven by the recovery from the cyber-attack, 1.1% due to M&A, mainly Italy in Turkey. As a reminder, I think Sintani was an agri spare parts distributor both locally and international, based in Turkey is a good hub of Turkish manufacturers. And finally, minus 0.3% due to negative currency translation effects. The adjusted operating result has increased by slightly more than 20% to EUR262 million, representing a margin of 15.6%. This is an uplift of 206 bps, mainly driven by this revenue growth, strict cost containment and an amount of EUR 6.6 million of cyber-related insurance income in 2024. To be highlighted, the transformation program continues and has led to operating costs of EUR32.1 million out of which around EUR 9 million in adjusting items. Various adjusting items as well at the operating profit level for an amount of EUR145 million mainly the PPA --mainly related to PPA and provisions for LTIP programs. Finally, adjusted profit before tax group share amounted to EUR97.6 million plus 30% year on year, partially supported by lower interest charges, largely FX-related. If we look at the free cash flow and the net debt of TVH, we had a stable free cash flow year on year of EUR84 million. Of course, thanks to the strong adjusted EBITDA growth of close to 20%, but a good control of CapEx slightly below 5% and a negative delta of working capital year on year and a bit more acquisitions than in 2023, as we said around Italy in Turkey. This led us to a net debt of slightly above EUR770 million but with a net leverage of only 2.5 times, which went down from 3.1 times at the end of 2023. And TVH has distributed a EUR73 million dividend in ‘24 in line with its dividend policy. In terms of latest developments and full year ‘25 outlook, after six years by solid work by Edouard Janssen, the current CFO, we have a new CFO coming in with 30 years of international experience to lead TVH to the next levels. Also, to flag Ecovadis, the digital transformation program continues to make progress among other things with operational solutions expected early 2025 in North America and continued improvements around various e-commerce platforms, which are important for the customers. And finally, on top of the Synchrony acquisition, which also did two smaller deals, one in the U.S. And one in Colombia, which is of course important for the global footprint. Thanks to all of that, the outlook for 2025 is an organic top-line, which is expected to grow by mid-single digit percentage, reflecting market share gains, but in a still soft market environment among other things in the United States. We expect a slightly declining adjusted operating result margin for two main reasons: dilutive sales mix, higher growth expected in construction than in NPA and of course an absence of that cyber-related insurance income, which we received in 2024. And finally, free cash flow generation expected stable compared to 2024. And then we come to Moleskine, where the sales declined with 6.1% since 2024, mainly organic. We did however because the whole sector suffered overall, we were able to reinforce and grow our market position in the core papers product at the wholesale customers and at our direct channels. We saw a year of cautious discretionary spending around through the globe. So, the category did see decline. There has been a negative operating leverage. So, our operating result did decline with 34.2%. However, and that's particularly the strength of the Moleskine economic model, the cash conversion even in some situation remains very good. And so, we're at 81%. And so, they were able to also pay the interest on the shareholder loan we have with them of EUR18.8 million in total. The net debt ended at the level of EUR266.5 million in particular. And so, there were also some financing costs of EUR18.1 million. The PBT group share landed at minus EUR3 million. On Page 37, the free cash flow, I talked about the EUR18.8 million interest payments and the cash conversion of 81%. And you can see the details of where the net debt landed in more detail in the table. The latest development is, of course, we have a new CEO since the January 1st at Moleskine. Daniela Riccardi retired after five years at the company. And Christophe Archaimbault was the Chief Commercial Officer, has taken on the role of CEO now. Second, we have continued to pursue a cautious store footprint increase where we have relatively small stores actually that we're adding surgically to our footprint. We've added six of those in 2024 and we'll continue to look at key cities around the world where that could make sense. We've also continued to develop the product lineup. We had a very successful Van Gogh edition that has actually received an international award and a couple of other very nice limited editions that Moleskine was able to develop. Our outlook for 2025 is a mid-single-digits sales increase and an adjusted operating margin that should increase above 100 basis points versus 2024. So, with that, we have the corporate and unallocated and then, wrap up, I would say, for questions.
Francis Deprez: Absolutely, yes. I think the corporate and unallocated is pretty self-explanatory.
Edouard Janssen: Exactly.
Francis Deprez: So now moving to questions.
Edouard Janssen: So, let's just open it up to questions. I think that will be the best thing as we've already spent about 40 in this call. Any questions?
Operator: Thank you, presenters. [Operator Instructions]. And your first question comes from the line of David Vagman with ING. Please go ahead.
David Vagman: Yes. Hello. David Vagman from ING. Can you hear me well?
Francis Deprez: Yes, we can.
David Vagman: Okay, perfect. Thank you. Just a first question to clarify the guidance. So, you're saying that, the guidance is at comparable financing perimeter in both years, and is expected to slightly increase. Just to be sure I understand correctly, then the comparison base then is EUR1.09 billion, that is the right way to understand the comparable financing parameter. And then, we need to adjust for the financial charge at Belron and the holding level. So, the EUR150 million and the EUR40 million.
Edouard Janssen: I'm happy to take that one, David. Indeed, to clarify, in 2024, our PBT Group shared December 2024 FX, so foreign exchange. And excluding the negative EUR24.8 million net impact from the additional financing both at Belron and corporate is at EUR1.1 billion and that is expected to grow slightly. You then have to take the full effect in 2025 or the additional financial charges, which is EUR140 million of Belron, our share, the Belon Group share and EUR40 million at the corporate level for our side of the debt. So that is what we mean by slightly increasing on a comparable perimeter, Okay?
David Vagman: Okay. And we don't need to, let's say, adjust for the charge you add at Belron level and make a complex calculation on the EUR60 million you had already in 2024, so group shares at 30 and then something else. No, it's really the EUR1.1 billion as you said for FX at the end of the year.
Francis Deprez: But indeed, how do we get to the EUR1.1 billion it is by taking care of the EUR24.8 million right both at the Belron and at corporate like you said.
David Vagman: Okay. Then another question on Belron. So, you said you're on track to reach the 23%. And so, we have been picking the past and I'm still today. So, the objective in 2022 was at least 23%. So here, in recent press release, you've been saying 23% and not the at least in the past, you've also been saying you were comfortably on track. So, can you just give us a bit more color about the 23%? Actually, it's a big step up and I'm not downplaying the achievement for sure. So that's my first question to clarify. And on the let's say the building blocks of this 23%, so you go from 21%, I think a little bit more than 21% at the end of 2024 so in 2024, 21% EBIT margin and you go to 23%, how you've been thinking and modeling 2025 in terms of margin, et cetera? Thank you.
Francis Deprez: Yes. So, the guidance is exactly the same as we've been saying in the last three years, and so it doesn't change at all. So, we are on track to reach what we said we were going to reach. And so, the 21.2% from which we now start and because that's the number that we landed in 2024. We see of course different contributions. Part will come from the translation of the top line development into bottom line. Part will come from the continued benefits on the transformation program, which progresses nicely. Part of it will come from the fact that there's, of course, recalibration and VATs and so on that will continue to develop and some overall, let's say, good cost containment that continuous improvement overall, I would say, that happens across the company. So, it's all of these elements. And then there will be some volume, as I said, some volume effect in there, more modest volume increases and the normal pricing effects that you can anticipate in the normal environment that we have. So, it's the combination of all the typical levers that we've seen at Belron, but added by some of the facts that small transformation program is getting in fuller scene and we have, let's say, the way the budget has been made and that makes us comfortably on track to reach the targets that we've set before.
David Vagman: Okay. Thanks. Very clear. And last question, let me give back let's say the mic. On TVH, so you're saying you expect to grow by mid-single digit percentage in a still soft environment and reflecting market share gain. Can you also give us more color on that? So, do you expect the market to be down and to grow, the market to slightly recover? What is basically behind the guidance for the top line?
Francis Deprez: Yes, the guidance actually assumes that there will be a continued mix of markets where we're not fully in full swing in the market environment. And so that we can actually develop our market position as we normally do, but in still a mixed market environment. So that's why we have a mid-single digit top line growth.
Edouard Janssen: Indeed, very much across geographies and markets, right, like frontage of 10.
David Vagman: Okay. The mix means some are positive, some are negative.
Edouard Janssen: Yes, given the market position that we have, some have stronger growth, some have lower growth, leading to a mid-single-digits, applying overall.
Operator: And your next question comes from the line of Michiel Declercq with KBC Securities. Please go ahead.
Michiel Declercq: Yes. Hi, Francis. Hi, Edouard. Thanks for taking my questions. Two questions on Belron, if I may. Just referring a bit to the top-line outlook, so mid-single-digits organic sales growth. I have the feeling that, this is a bit softer than what you had in the previous years, the mid to high single-digits. So, I would suggest that, I know that 2024 was a bit of a difficult year in terms of demand and the insurance premiums. Based on your outlook, I would assume that, also 2025 might be a bit more difficult or at least it shows that, maybe the impact of the increased insurance premiums and the claims avoidance continues. Can you maybe give a bit of color there on that mid-single-digits organic outlook? How we should see that between the U.S. and the EU? And maybe also I was assuming that, there were some price negotiations ongoing as well, so I would have expected some positive tailwinds from that also. And then, the second question on Belron is on the strategy here between the insurance and the cash markets. Last year or starting at the end of 2023, you focused more on the technician retention. What is the strategy here now? I assume that, maybe this could be a bit of a tailwind if you decide to change the strategy here from a margin front, given that that was a bit of a drag in the first half of 2024 and the end of 2023. So, if you could maybe comment on that as well?
Francis Deprez: Okay. So, the top-line, we anticipate the normal developments at Belron. And so, we don't have, of course, a very long visibility looking forward and how things may change, but you still have some of the same effects of last year continuing this year, most likely. That's at least the way we've made the budget, I would say. And so, we'll see what that will translate to in the different regions of the world. And so, as you know, Q1 is typically also impact the backup of other things as well, and their things are maybe a bit different from last year. But in terms of the insurance dynamics, the budget has been made in the kind of a well, this is slowly going to start to normalize again, but it may still take and we don't have that much visibility how long that will last. And that will neatly link to your second question. We, of course, are looking at all the segments in the market, but our position is the biggest in the insurance market. And so, even if we do good efforts in developing some other parts of the market like the cash market, that doesn't play in each of the states necessarily, it doesn't necessarily play at the same size either. So, we, of course, are pursuing these things. And so, all of these things together lead us to this mid-single digit top line evolution of Bellron in the way we've made the budget.
Michiel Declercq: Okay. That's clear. And is there maybe as a quick follow-up, we have seen quite some storms in the U.S. on the East Coast in the first half or some difficult or cold weather conditions, shouldn't that be also a tailwind for this year?
Francis Deprez: Well, maybe we'll see, yes, a bit early day as usual. We'll have a better view on that once we're in the month of May and we have a good view on the Q1 top-line. So, I think that we'll have a better visibility on that, but it's true that there has been some decent winter vortex elements in some of the weeks in some parts of the U.S.
Michiel Declercq: Okay, great. Thank you.
Operator: And your next question comes from the line of Alexander Craeymeersch with Kepler Cheuvreux. Please go ahead.
Alexander Craeymeersch: Hi, Alexander from Kepler Cheuvreux here. Two questions from my side. So, one, I'll probably pick a note on David a bit here. So, for the 2025 outlook, I'm trying to figure out the implied profit before tax group share here. You mentioned a mid-single digit growth and a rather large margin increase in most segments except for the auto. And starting from that EUR1.1 billion in profit before tax in 2024 and then assuming the EUR180 million that we need to deduct, would you allow me to pinpoint that your implied profit before tax group share is between EUR960 million and EUR980 million. And then I'll immediately go to the second question. So, on TVH, the sales post to the cyberattack, the cyberattack in TVH still hasn't really fully recovered. So, is there still an impact of that cyberattack? And how do you plan to get TVH fully back on track with its growth ambitions? Thank you.
Francis Deprez: Let me start with the second one first. So of course, the effects of the cyberattack are really behind us and it's really been more the softness of the markets that has actually led to less growth on the top line of TVH in 2024. So, with the percentage of growth that we've had at TVH, we have note the cyber effect of '23, but we have not had additional growth beyond that very much in 2024. And so, when we're now in 2025, say that we want to do a mid-single digit growth, that means of course we will continue to grow our market shares and our positions in the markets in an environment where some of the markets will have some growth and some of the markets will have less growth. And so that's more behind it. What we are continuing to do is the very surgical fine tuning, looking at the share of wallet of all of our different customers and making sure that we continue to have a good representation, a good share of wallet in each of them. But not all of the customers have the same utilization rates, not all of them have the same growth rates in their equipment and therefore the demand for spare parts, et cetera. And so that is actually behind the somewhat softer top line that we have seen and that we have used to come up with our mid-single digit top-line growth for TVH. On the first question -- the guidance, absolutely. So, we are not providing a range, but I can repeat what you have said, right. We did provide the figures. So, what we expect is a slight increase from the level of EUR1.1 billion and the EUR140 million plus EUR140 million, which is EUR180 million of full year financial charges, both at the D'Ieteren group share and at the corporate level in 2025. Right, so normally that should make it pretty straightforward.
Alexander Craeymeersch: Okay, yes, that's very straightforward. That's why I dare to put those numbers. So just maybe I'm going to ask it in this way, EUR980 million do you feel comfortable with that number? We're not going to guide on a specific number.
Francis Deprez: So are the base that we just mentioned.
Alexander Craeymeersch: Sorry for that. Thank you, Francis. Thank you, Eduardo. And have a lovely evening. Bye.
Operator: Thank you. And your next question comes from the line of Kris Kippers with Degroof Petercam. Please go ahead.
Kris Kippers: Yes, good evening. Thank you for taking my questions. Can you hear me?
Francis Deprez: Yes, we can.
Kris Kippers: Okay, perfect. Just one question still on Belron. Looking at the winter effects, could you share with us a bit more detail on Indeed keeping those blue colors on the P&L, what that altered in this winter? And the second question, just financial detail perhaps, but looking at dividends, the EUR1.6 how should we look at this going forward? Will this be should we be using a payout or just something that goes roughly up with PBT or something like that? Thank you.
Francis Deprez: On the blue color, so last November, December, we reverted a bit back to our former approach, I would say, is to from a couple of years ago, where we said, we're not going to keep everybody just hoping that we will meet them. We just basically list through this the low season with a lower level of capacity, but have differentiated between the level of expertise and the level of experience of our technicians to then, of course, mainly hold on to the ones with most of the experience as the volumes then come up, as the winter now unfolds, to not have to recruit too many people. So, we have kind of reverted back to our older approach rather than the one that we had done between end of 2023 and the beginning of 2024. On the dividend policy, Eduardo, do you want to say something?
Edouard Janssen: Sure, yes. The dividend policy of EUR1.6 per share. So, it is a decision of our Board of Directors, but indeed our policy stays the same to have a stable or increasing dividend going forward when business allows. And given the large dividend, of course, we have paid last year and given that we start 2025 with some leverage, also at the D'Ieteren Group level, which we have already lowered by EUR250 million today. For all these reasons, that's why what will be proposed to the shareholder meeting is the dividend of EUR1.6 per share, also to be a bit cautious on the cash side and at the Group level.
Francis Deprez: And I think it's too early to speculate on what KPI would we use if you were to think of increasing, will we increase following a ratio or this or that? We'll take that next year when there is a decision to be able to draw dividends in February or March of 2026.
Edouard Janssen: Absolutely. The whole idea of the rebasing definitely is to start from there, it's stable or increasing going forward, as we had done in the past as well. If you look at the we had a nice CAGR in the last five to seven years and we are not committing to anything, but we remain as a net level.
Kris Kippers: Okay. And then just a small follow-up. Just looking at the cash up streaming you already did from auto in start of 2025, so already a quarter actually of the EUR1 billion you raised at group levels already repaid. What is the leverage we should look at going forward at auto? Where are you comfortable with going forward?
Edouard Janssen: So, it's half of the bridge, right? So, it's EUR 250 million right, which has been repaid. And so, we are not stating anything particular at this stage. It's just strong cash generation in 2024 at auto, as I said, more than EUR360 million. And so, following this, it was very simple to do some to upstream some of that cash early 2025 to reduce by EUR250 million of debt. We'll provide more information’s on all of this at the Investor Day in May.
Kris Kippers: Okay. Looking forward to that then. Okay. Thank you, gentlemen. Good evening.
Operator: Thank you. And your next question comes from the line of Jeremy Kincaid with Van Lanschot Kempen. Please go ahead.
Jeremy Kincaid : Good evening, everyone. I've got two questions on PHE and then two questions on Belron. Starting with PHE, if I look at the organic growth rate in the second half, I get to a number around 6.2%, which looks very strong compared to the previous half and also compared to peers in the market. So, I was just hoping if you could talk to some of the dynamics there as to why that number is so strong. And maybe if you could break out the price and the volume components of that, that'd be very helpful. And then the second question on PHE, you've obviously expanded into Ireland now, which is a new strategic step for that business. And I was just wondering if you could talk to whether or not there'd be changes to the CapEx envelope that would be required to grow that business. Thanks.
Francis Deprez: Okay. So, on PHE H2, well, actually H2 was in that sense a bit similar to H1, so we had very limited price and pricing effects overall. And so that means that the majority really came from volume effects also in H2, and that's both a growth in the market and a continued growth in the market share. And that's been both case in France and in international environment. So, in that sense, it's been relatively across the board, but mainly volume driven elements at PHE and a lot less on the price effect, because that's really kind of petered out and the umbrella under which we kind of operate didn't allow for many price increases. On Ireland, yes, we'll of course, we want to close that deal in the coming time. But once it's there, it's not going to change or have a big impact on the CapEx profile of PHE. There's not anything we need to particularly invest in that activity that would change the CapEx profile of the company as we usually do when that's the first synergy that will be looked after will be of course procurement synergies and we'll work from there. And then the other things will follow more the development of that Irish operation. They are not covering the entire country at this stage. And so, at some point in time, it may be useful to look at whether they would want to keep playing exactly the same role as they do today or whether they would have a broader role, but that's really something to be decided at a later point in time.
Edouard Janssen: Just to reinforce that point, it's very much continuation of the ink spot strategy at PHE and they can easily ship from France, from close to Logisteo to Ireland. So, it's good as well like what we said on the purchase in 2019.
Jeremy Kincaid : Sure. And then just two questions on Belron. Organic growth in North America has been flat for three halves now and implicitly you're guiding on two more flat halves largely due to this claim avoidance trend, which we're seeing. I still personally struggle to understand the claims avoidance issues. So just wondering if you could provide some context as to how long you think this behavior might last and whether or not there's any catalysts that could see claims avoidance behavior abate? And then the second question for Beleron is you talked to some legal claims that came through in the one off. I was just wondering what those were.
Francis Deprez: Okay. Well, the organic growth claims of guidance in the U.S. is of course triggered by the relatively drastic insurance premiums increases, that several insurers had done, and when then consumers decide when they have a crack in the window to not use the insurance and just repair it via cash involvement and our position in cash has, of course, been a bit more opportunistic and less developed than in insurance. So that means even if the volume was in the market, it may not necessarily have come to us, because we were stronger in the insurance market than in the cash market. What may change that? What could be a catalyst to start thinking, what's the behavior of the insurance players that we're going to see? I think you have some insurance players who still talk about a little bit of premium increases here and there, but you have other insurers, who start saying, ''I want to increase my footprint to go over my market share''. And these are in that state and who are talking about potentially decreasing their insurance premiums or not. So, if that happens, then there's less reason for people not to use the insurance anymore. And so, then this claim avoidance would start to reducing like we've seen that in the past. And so, it's basically what we're monitoring is the competitive behavior of the insurance players in the different states in the United States, because that will ultimately trigger, when it gives people a good reason to continue to practice claims of audience or not. And so that will trigger that. On the legal claims?
Edouard Janssen: Yes. On the legal claims, what we are talking about is, what has been called the -- case. So, it dates back a few years back during the COVID-19 pandemic. And Safelite has reached a final agreement to resolve this litigation, which was relating to insurance billing of aftermarket windshield molding and the care and cleaning program. So, to be clear, Safelite has denied all allegations made in this case. But after careful consideration, the decision was taken to settle, because this seemed like the best solution for all stakeholders and to allow Safelite to continue going forward.
Francis Deprez: And then there have also been a couple of other, let's say, legal claims that you typically have every year that may be linked to an accident that happened or things like that. So, from time-to-time, you have this type of things.
Operator: [Operator Instructions]. And your next question comes from the line of Victoria Adesina with Barclays. Please go ahead.
Unidentified Analyst: Hi there. Thanks for taking my question. Just a quick one on tariffs. Obviously, very popular topic at the minute. How should we be thinking about how the tariff situation affects each of them?
Francis Deprez: So, the tariff situation, so you have a couple of our activities that are not affected, I would say, especially if a particular product is around the U.S., PHE also would be not affected at all. In Moleskine, we shipped in notebooks around the world, but we have anticipated, because we've listed that a couple of years ago, we do not anticipate this of an effect either. The TVH and Belron, which are the activities that have big U.S. activities, while sourcing for TVH happens around the world from all kinds of regions, Again, they have looked to that five, six years ago as well. And so, of course, what we are trying to do is to make sure, we have as flexibility as possible with source your different spare parts around the world, so then you want to get them into the U.S., if that would be the issue where you would want to sell them from, and then try and deal with any tariff impacts you may have at that level. The level of Belron, then, we know that in the U.S., we are already reliant for a large degree on domestic glass production. So, we are importing a little bit, but not that much, and also that is something that we have dealt with in the past. So again, if of course tariffs would start to lead to a real inflationary environment again, we're going to, of course have to apply what we applied to the previous inflation wave, which is to find price of fruit. We are hoping to see what we will be doing then.
Unidentified Analyst: Okay, great. Thank you very much.
Operator: And I'm showing no further questions at this time. I would like to turn it back to Francis Deprez for closing remarks.
Francis Deprez : All right. Well, thank you very much all for joining the call. Apologies again for the technical issues we had, but I'm sure we'll be able to talk to several of you in the coming days and weeks more about these results or any other issues. So, thank you very much, and have a great evening.
Edouard Janssen: Thank you. Goodbye.
Operator: Thank you, presenters. This now concludes our presentation. Thank you all for attending. You may now disconnect.